Clara Bermudez: Good afternoon. We shall begin with the presentation of results of GCO Third quarter 2025. You know me. I am Clara Gomez Bermudez. You know me from previous presentation of results, I am the Financial and Risk Management Officer at GCO. And as usual with me in this presentation are Isidro Lapena, CFO of the Group; and Nawal Rim, Director of Investor Relations, who as on other occasions will coordinate this presentation and will pull together all of the questions that you ask throughout the presentation, and we will answer them at the end, either individually or grouped together, depending the volume of questions received. And before we start, as usual, I wanted to thank you for being here with us. This presentation that, as you know, is remote. And also thank you for your continued interest, not only on the performance of our stake, but also the businesses of the group. A regulatory issue before we start, the financial information that we are presenting in this presentation of results has been calculated based on our management information, IFRS 4. And since it is a quarterly presentation, we will not report under the International Standard 17 for insurance and 9 for financial investments. I should also mention that, as you know, on March 27, INOC, S.A., manifested their interest in carrying out a takeover bid over 100% of the shares of GCO. And precisely yesterday, 29th of October, the CNMV authorized this bid. We would like to remind you that the price of the bid is a cash payment of EUR 49.75 per share of GCO or alternatively a swap of one Class B share for each 43.9446 shares of GCO, all of it based on the reference price of EUR 2,186. So as you know, because it's been published this morning, the CNMV has established the period of acceptance that started today, October 30, and which will end on the 28th of November. That is the term to accept the terms of the bid. And now starting with these first 9 months of 2025. Well, our assessment is positive, very positive of all of the aspects and businesses. And along the lines of what we have seen over the first 6 months of 2025, here in this executive summary, you can see the 3 main aspects that we wanted to stress. On the one side, when it comes to growth, you can see this growth of 4.7%, almost EUR 4.77 billion turnover in business distribution and we will get into more detail later. But I can say now, you know this because we'd mentioned this in previous presentations that the growth difficulties we are experiencing at Atradius are more than offset with the good performance of the Occident business in terms of turnover, especially because of commercial activities. I will not stop to talk about this now at this point. We will talk about this in more detail later, but I did want to talk about the 2 aspects that we stress in this executive summary. On one side, under result, a satisfactory consolidated results EUR 614.2 million, an almost 7% growth, 6.9% specifically, as compared to the previous year. And the truth is that out of the 2 main elements that have an impact on the result of the business, on the one side the financial result, and on the other side, the technical result, the weight of the positive behavior focuses on the good evolution of the technical result. The main indicator of which is the combined ratio that you can see on screen below 90%. In the case of Occident, minus 0.8 percentage points. And below 80% in the case of Atradius, although with an increase of 1.6 percentage points. In Atradius, slight worsening as compared to the previous year, because the lower growth in turnover does not offset the increase in the claims ratio, especially mid-sized claims. And despite the fact that we have more weather events this year as compared to previous year, the combined ratio has a positive behavior in Occident. And finally, I wanted to talk a bit about the evolution of permanent resources at market value. It's been an exceptional evolution this quarter. You know that permanent resources at market value have to be analyzed together with the solvency ratio. We will have a specific slide explaining that in more detail later. And you cannot see it now on the screen, but there is an increase of 9.6% as compared to the previous year. And it is true that it is due to the current context somewhat. We will let you know in detail later, but the good performance of financial markets has contributed or is the main contributor to these permanent resources at market value, which in the end is due to more capital gains in variable income, which have a direct impact on its -- on the good evolution as such. And you know that before we start with the evolution of the results of the group, we always like to give you some context, 3 ways. On the one side, global economic environment, financial markets, and after that we give you context about the Spanish insurance sector which is where we have our main business. And here you can see the global economic environment and how it has evolved. The past 9 months have been marked by political uncertainties, starting with the protectionist policies, especially happening an impact on the first half year announced by the government of the United States also due to commercial or economic situation between the U.S. and China and the main war conflicts worldwide. So with all of that, the forecast of the IMF, the latest one that you can see from October 2025 have improved as compared to previous ones. Here, you can see the estimation. At the level of Spain, it is better with this 2.9% that you can see on screen as compared to our European counterparts with that 1.2%. Globally speaking, this should translate into a 3.2%, as you can see at the top of the slide. And now on to the evolution of financial markets. On the screen at the bottom left, you can see the evolution of fixed rate interest rates. For us, fixed income interest rates is very important. Our investment is mostly fixed income, and this allows us to offer our policyholders attractive savings products. 3.3% at the end of the quarter in the 10-year bond. Normally, it is around 3.2%, 3.3%. Now it's gone down slightly in the past few days, it's around 3.1%, 3.2%. It is true that it is impacted by the monetary policies of central banks. But in the end, good evolution of interest rates for the insurance market as a whole. And as we said, an exceptional behavior of the stock markets, specifically the Spanish stock market with 73.46% in the current year. And this is a positive impact in markets, but also in the evolution of capital gains that have an impact in the capital of the company. And also, we would like to give you some context about the insurance sector in Spain. And last year, there hadn't been much growth in the insurance sector, but we've been picking up. We've been going back to the path of growth, a total increase of 13.6% for the whole sector in Spain with the impact of the good evolution of Life premiums, almost 26%. You know that this is more of a context matter because this normally depends on the issuances at specific moments in time, and these lead to Life growing 22.2%, but also a good behavior of non-Life with the 8% that you can see on screen. In Motor, you know that it is a very competitive line, a growth of 8.6% and Multi-risk 6.6%, as again, you can see on this slide. I would like to remind you that this increase of 11.4% in Health in the case of GCO Health is included within Life. So it's not comparable because in the rest of the sector, it is considered outside of Life. But if we compare ourselves with the Spanish insurance sector, we can say our situation of non-Life has been satisfactory as compared to the rest of the sector with better growth in Motor and the rest of the insurance sector, also a better growth when it comes to Multi-risk. And in the case of Life, you know that we focus more on recurring premiums rather than single premiums because we believe these are the ones that offer more value to our customers because they promote systematic savings and also provide more value to the group. And as usual, we will also show you to summarize P&L's income and results' income at the top -- results at the bottom. When it comes to income, we've already talked about the good performance of the turnover of the group. Here, you can see divided by business, very good behavior, and Occident with this 7.5%, specifically recurring premiums, which is what I just mentioned on the previous slide comparing to the rest of the Spanish insurance sector and a good behavior of single Life premiums with this 9.7%. So rather than single premiums per se, what we include here is the increase of supplementary premiums that these supplements that our customers make on to their savings plans. And it is also true, as we said at the beginning of the presentation that in the case of Atradius, to which we do shorting. It's -- the is the growth is more modest. We're having more tensions in Atradius as compared to the rest of business, mainly because of the lower commercial activities of our policyholders, but still positive as compared to the previous year. And in the -- we compensate with the good evolution of surety insurance and accepted reinsurance. And also, a good behavior of Memora. This is a company through which we do our funeral business 5.5%, which in the end leads to this 4.7% that you can see on the screen. And now on to results. The bottom-line positive behavior and better than the previous year in all lines of business, starting by Occident to stress positively with this 11.2%, almost EUR 260 million result. I already mentioned it at the beginning, a good result despite the fact that we have had a higher claims ratio due to weather events as compared to the previous year. It is true that in 2024, well, it was an exceptional year in terms of less weather claims than usual. But in this year, we've observed an additional EUR 22 million net of weather events as compared to the previous year. And still, we grew by 11.2%. Good result in Atradius, almost same as the previous year, EUR 328 million profit. In the previous year in 2024, Atradius had exceptional results in 2024. So we can be happy with the ordinary result of Atradius. It is true that the lower growth means that you cannot always absorb the general increases in claims ratio. I will not stop to talk about Memora or the non-ordinary result. You can see on the screen the good evolution of Memora. Non-ordinary are not relevant, not even EUR 9 million positive, which are mainly due to financial investments and to a lesser extent, responsibilities which was not necessary. So as a whole, the result leads to a consolidated result of EUR 614.2 million, a growth by almost 7% and EUR 558 million attributable results, so discounting minority shareholders and in total 4.7% growth. And you know that we always like to go deeper into one of the key elements of the good evolution of the Group's business over the years, which is diversification of businesses, not only between Occident and Atradius, what we used to call traditional business and credit business, but also the different products of each of the businesses. You can see that Motor weighs less with this 13.1% as compared to Multi-risk, 15.4%; and the quite relevant weight of Life, which is almost 20%. And also contributing to this diversification, the business of Memora, which has a weight of 4.3% over the total of the group. Diversification not only by products, also by countries. It is true that most of the weight is in Spain with this 65%, but we also through Memora increased this because we have present in all of the Iberian Peninsula, Spain, and Portugal. I will not stop to talk about sustainability actions. You know these very well. We continue with our Sustainability Master Plan for 2024-2026, and it is published on the website of the Group. This is part of our DNA. I just wanted to stress that we continue to carry out all of the planned actions. And as usual, we're showing share price evolution. You also know this very well, just like we do. It's been a positive evolution of the GCO share, of course, conditioned by the takeover bid announced by INOC, S.A., on March 27, which leads to this growth at the end of the quarter of 36.21%, which compares better with the reference indexes. Here, you can see the evolution of IBEX and EuroStoxx Insurance. And as usual, stressing the joint behavior over the years, which exceeds 11%, 11.7% and which clearly compares positively with the reference indexes. And as usual, the situation of the dividends of the group, you can see this here, the dividends that we have distributed charge to 2025, which grew by 8.7%. The joint dividend of July and October as compared to the previous year in the end, it's EUR 30 million as a whole. In the July dividend, EUR 24 million in October. And this is an increase of 8.7%, which again confirms the commitment of the group towards growing profitability because it grows over the years, profitability for the shareholders, which we've been able to maintain not only in regular situations, but also in general terms in exceptional circumstances such as the years of the crisis. And also in keeping with the calendar plan. And without further ado, I'll pass it over to Isidro Lapena, who will continue to explain in detail the evolution of the results of the group.
Isidro Lapena: Thank you, Clara. We'll start with Occident. In Occident as in previous quarters, we continue with a good performance of sales activities and with the satisfactory retention of our clients, which has led to the figure of EUR 2.69 billion turnover, which is an increase by 7.5% as compared to the third quarter of last year. If we talk about recurrent premiums, the increase has also been 7.5%, stressing the increases in Multi-risk and Motor with 10% and 10.3%, respectively. Results, ordinary result, EUR 259.6 million with an increase of 11.2% and the technical result has increased by 10%, reaching EUR 250.6 million. Divided by business, in non-Life, the combined ratio has improved 0.8 points, going up to 89.6% with a good evolution in Multi-risk and Motor. And in Life, the technical financial result is almost maintained at the same level as last year with a slight improvement of 0.1% as we will see later. By lines of business, Multi-risk with EUR 734.4 million turnover, growth of 10% above the -- or over the sector, which was 6%, stressing mass lines 10.5%, as a consequence of good commercial activities, both in sales and in cancellations. Combined ratio is 87.8%, an improvement of 0.5 as compared to the third quarter of last year. I would also like to stress the increase of written premiums -- of earned premiums, sorry, with an improvement in efficiency ratio, which has offset the slight increase of the technical cost as a consequence of a higher claims ratio due to weather events. Due to all of this, the result has increased by 15.1%, going up to EUR 85 million. And now on to Motor. We can see an increase in written premiums of 10.3%, above the sector, which has been 8.6%, going up to EUR 623.5 million in a competitive environment, which, as we said before in other presentations, although there is an upward pressure on prices, this is not leading to more cancellations at Occident. Combined ratio is at 94.4%, 1.5 points below the ratio of the third quarter of 2024, thanks to 3 factors: the increase in earned premiums along the lines of the increase in turnover, improving claims ratio and reinsurance results, which leads to the technical cost dropping 0.9 and the improved efficiency ratio with a drop of 0.7 as compared to the same period of last year. As a consequence, the result of the line has seen an increase of 50.2%, obtaining technical profit of EUR 33 million. As to other, we see an increase of 2.8% in written premiums which goes up to 5.1%. If we talk about earned premiums with an increase of technical costs, which as we can see on screen is more than offset with the improvement of the efficiency ratio. As a consequence, the line maintains a combined ratio of 84.9%, a 0.5 point below September 2024, very much in line with the past few quarters. And this translates into a technical result of EUR 47.3 million, 8.9% above the third quarter of last year. And now on to Life. Life as a whole increases in recurring premiums, increasing turnover in all lines, in all businesses, except for net contribution to investment funds, stressing particularly the behavior of Life savings. Technical financial result increased slightly 0.1%, reaching EUR 150.9 million, stressing improvements in Life. And in the combined ratio of funeral dropping 1.5 points. Combined Health ratio worsened, combined ratio of 94.3%, 6.1 points above September 2024, but much better than the first half year of 2025, where if you remember, we were at technical losses with a combined ratio of 100.4%. As summary, for Occident the increase in written premiums and earned premiums and the improvement of 0.9% of the efficiency ratio, which leads to a reduction of costs of 3.9%, which are almost EUR 6.7 million, have allowed us to offset the moderate increase of technical costs of 0.1% that we experienced if we compare this to the same period of last year. So in the end, we are improving the profitability of the business. We have reached a combined ratio -- we've improved the combined ratio by 0.8 points coming to 89.6%, reaching an ordinary result of EUR 259.6 million with an increase of 11.2%. Additionally, the contribution of EUR 13.3 million non-ordinary results coming basically from realizations of investments leads to a total result of EUR 272.9 million with an increase of 13.6%. And now on to Atradius, we can see that earned premiums are at EUR 1.727 billion with an increase of 1.1%. The stress is the positive evolution of surety and reinsurance in a downward pressure environment for renewals and a certain uncertainty due to the geopolitical and economic situation impacting mainly the credit business that continues with the trend we saw in the past few quarters of deceleration in practically every market. The result is that the ordinary result is at EUR 327.9 million with a decrease of 0.5% and the technical result is at EUR 446.2 million with a decrease of 5.3%. When it comes to the geographical distribution of income, we can see a decrease of earned premiums in America, Central and Northern Europe and Asia, whereas in the rest of areas, there is growth. The stress is Western Europe due to the increase of reinsurance in Ireland and Southern Europe with better surety business in Italy. As to profitability, we should say that we continue with our conservative provisioning criteria and the gross combined ratio worsened by 1.6 points, but it's still behaving well with a ratio of 75.9%. The efficiency ratio experiences a logical increase due to more income in reinsurance with higher fees. The claims ratio is still very contained due to the lower impact of severe claims and the positive runoffs. We are specifically 1.3 points below in claims ratio than at the end of 2024. As to risk exposure, it increases by 3%, and we still maintain strict selection criteria. And we continue with adequate diversification of risks by country and sector, which is allowing us to have a good quality of the portfolio. As a summary, income increases despite the downward trend in renewals and the uncertainty caused by the current geopolitical and economic situation. Technical result before reinsurance drops by [ 5.3% ] in a period characterized by the upwards normalization of standard claims ratio with a lower incidence of severe claims and a cautious provisioning policy. Reinsurance improved by EUR 18.5 million, maintaining the transfer ratio at 35% and the financial result improves due to the reinvestment at the new market rates of fixed income and liquidity. With all of this, the ordinary result is at EUR 327.9 million with a decrease of 0.5%. Additionally, the total business result is impacted by non-recurring losses of EUR 4.1 million corresponding to realizations and extraordinary expenses reaching EUR 323.8 million with an increase of 0.2% as compared to the previous year. Clara, maybe if you now want to talk about Memora results?
Clara Bermudez: Yes, the results of the non-insurance business of the group that we offer on this screen. Well, evolution of income, 5.5% a bit over EUR 207 million turnover, very good performance of the ordinary result, EUR 18.1 million, more than 30% relative growth. The main contributor to this is not the business per se, but the better evolution of the financial expense, which drops by EUR 11.7 million going down to EUR 7.9 million negative, which is the main contributor to the positive evolution of the business. It is also true that the margin over EBITDA that you can see on screen which is 23.6%, very similar to that of the previous year. It is true that usually the margin over EBITDA should be around 25%. But you already know that the Memora business has a seasonal component and towards the end of the year, it should be more -- should be closer to that 25%. And leaving the business side a bit behind and now talking about the balance sheet and permanent resources. We already mentioned it at the beginning of the presentation of results, it has been an exceptional period, growth of 9.6% as compared to year-end. And the main contributor to that is the good evolution of financial markets that were mentioned at the beginning. You know this perfectly well. And in the end, this impacts in terms of more capital gains of equity. But seeing the permanent resources market value in an isolated manner, does not give you the total overview of the good evolution of the business because just like any other insurance business it should be considered as a whole together with the evolution of the solvency ratio. You know that part of these resources or these own funds have to be immobilized to attend to the risks of the group, and this is shown in the solvency ratio. On the screen, you can see the evolution of the solvency ratio. We only show it at year-end from 232% to 236%. And the rating agencies also come from the robustness of our business. Here, you can see the different rating agencies. We have a summary. In the case of A.M. Best they give us an "A" for all of the operating entities of the group, understanding those both of Occident and Atradius. And in the case of Moody's, "A1" with a stable outlook for Atradius, highlighting the strong competitive position and the conservative investment portfolio. And you can also see the Moody's rating for GCO, "A3" with stable outlook, improving as a consequence of the better sovereign rating of Spain, highlighting the financial strength of the group, but also the good diversification among the different businesses of the group, specifically between Occident and Atradius. And to finish the presentation of results, we always offer a snapshot of the evolution of the investments of the group. We continue to maintain our cautious and conservative investment policy. You can see here the EUR 18 billion managed funds increasing by 6.7% as compared to end of 2024 and the different components of investment. As we already said at the beginning of the presentation, our reference asset continues to be fixed income, 53.1% growing as compared to last year. We've made more investment in fixed rate, making use of the situation of -- the current situation of interest rates and the evolution of equity is not because we've invested more, but because the markets have evolved favorably. As we've said in the presentation, and this translates into equity having a higher percentage, but it is just purely out of context. We feel very comfortable with our treasury position. Our cash and cash equivalents, which allows us to take care of our operations. And with this, we would finish the presentation as on other occasions. Now we will answer the questions we have received. So Nawal Rim, Director of Investor Relations, she's received many questions, and I think Isidro will answer on his side. And if there are any questions about the takeover bid, I will answer myself. Before finishing, of course, thank you again for your interest in GCO and for attending this presentation of results. Thank you, Nawal.
Nawal Rim Barange: Thank you, Clara, Isidro for your presentation. We will start now with the Q&A. And as Clara said, due to the situation we are in -- we've received a few business questions, and we've received questions about the takeover bid of INOC, S.A. We will start with the business questions. In Occident within non-Life, we have several questions that need more detail, especially in terms of the increase in turnover in non-Life, the improvement of the combined ratio, which is below 90%, specifically 89.6% despite weather events and also what's in store from until the end of the year.
Isidro Lapena: Thank you, Nawal, couple of questions about non-Life. We'll start with the income. As to income, I can say that we are quite happy about the evolution of the turnover of non-Life in Occident because we have premium increases above the growth of the sector. This has been possible, thanks to the robust performance of sales, contributing to a net increase of the number of policies, but also the number of policyholders. Now on to profitability. I would like to say that we continue to maintain a positive gap compared to the sector of 2.6 points when it comes to combined ratio despite the fact that we are having a higher claims ratio due to weather events, especially in the past few months in simple Multi-risk, but also in Motor. The improvement in the combined ratio of 0.85 points, we've already said in the presentation is due to, on the one side, more earned premiums, which is at the level of increase in income in the 2 main lines, Multi-risk and Motor, and also better productivity due to the efficiency measures implemented that you all know, which is allowing us to absorb the slight increase of the technical costs by far. You also asked about the perspective towards the end of the year. The forecast is that we will see a similar trend for the remainder of 2025 with increases in written and earned premiums with maintained technical costs and reduction of expenses due to the merger of Occident. As we've said on other occasions, there are some questions about how the key events and other events may impact us. And they will most probably happen and despite reinsurance and the consortium, they may have a negative impact on the P&L, although we trust our risk management to carry out or to continue with the fourth quarter.
Nawal Rim Barange: We'll continue now with Occident Life business now. They ask about the evolution of Life premiums. And there's also questions about the evolution of the Health combined ratio, specifically expectations towards the end of 2025. Isidro?
Isidro Lapena: Thank you, Nawal. In Life, we're also happy with the increase in premiums we are experiencing, thanks to more sales activities and a good contention of cancellations, and we are increasing the turnover in all lines. I would like to stress the good behavior of our periodic premium portfolio, which is, as you know, what contributes more value and profitability to us. They are growing at a good pace, 4%. And on the other side, single premiums grow by 9.7%, thanks to the good behavior of supplementary premiums. Focusing on the second part of the question on Health, you know that for us, it is a strategic line, even if it's not so relevant when it comes to volume as other lines. But if we analyze the evolution of the premiums, if you remember in the first quarter, it was more moderate. It was 0.6% due to our agreement with Telefonica to cover their employees, which is renewed in January, and it limits initially the increase in premiums. And this effect, as I've explained on other occasion, dilutes over the months, and this is why in this third quarter the growth has been greater, reaching 2.8% increase at the end of September. As to the combined ratio of Health, it is at 94.3%, and we must say that we are improving quarter-on-quarter and that the measures adopted are having the desired effect, always bearing in mind the risk profile and the needs of our customers. And finally, there was a question about expectation towards year-end. Well, for year-end, what we expect is that the combined ratio will continue as it was until now in terms of profitability.
Nawal Rim Barange: I'll continue with you Isidro to cover the questions on Atradius. They ask specifically for more detail on growth in terms of claims ratio combined ratio. And as usual, these prospects towards the end of the year given the current context.
Isidro Lapena: Thank you, Nawal. These are also several questions on Atradius. If we start with growth, the volume of premiums in Atradius has increased by 1.1%, thanks to the fact that we are focusing especially on commercial activities, which is bearing fruit because we continue to have customer retention ratios, which are quite stable, I would say, very stable. The prospects for growth globally seem to be positive. And given the current context, we expect to maintain a stable level of income for year-end 2025. It is true, however, that on the one side, it's difficult now to grow in credit insurance, but we are offsetting this with surety and reinsurance. And on the other side, income is conditioned by the sales of our policyholders who in turn are impacted by the macroeconomic uncertainty, tariffs and the FX, which is quite a random effect. And if we now move on to claims ratio, we've seen that it improves by 1.3 points, but we have to be cautious there because this improvement is mainly due to the change in expectations associated with specific serious claims, which we have not experienced this year, no key events. Because if we focus on standard claims ratio, we are observing a negative trend above previous years almost in all markets. And we are, therefore, seeing this upwards normalization of claims ratio that we anticipated in previous quarters. As to the combined ratio, there were also some questions about that. And in the presentation, we saw that it still shows good behavior, 75.9%, although it is true that it has worsened by 1.6 points as a consequence of fees due to the growth of reinsurance. Prospects in the end and for the whole of the year, I would like to say that we will continue with our cautious underwriting policy, and we expect to maintain a stable level of income with a normalized combined ratio in an environment of uncertainty as to how the currency exchange, tariffs and macro economy may evolve.
Nawal Rim Barange: Thank you, Isidro. We will now continue with the questions on the takeover bid. On the one side, we received several questions about the price increase by INOC, S.A. last week. They asked us what INOC, S.A. has conveyed in this sense and whether there are more increases foreseen. Clara?
Clara Bermudez: As to the question on price, I think that there isn't much more to say that we haven't said before. On October 21, INOC, S.A., increased the price of the bid from EUR 49 after dividend adjustments to EUR 49.75 in the cash mode and in the swap mode in the end, it translates into a Class B action of the newly issued INOC, S.A. shares for each 43.9496 (sic) [ 43.9446 ] shares of GCO. As to why? Well, almost the same thing, not much to add versus what you already know. This was due to, as INOC, S.A. says, the good performance of financial markets. You've seen that IBEX growth above 35% this year and also the good performance of the GCO business for the past few months. And the last question, whether we foresee more increases, as you may understand, we do not have much of that. There isn't much we can say about that. I think -- well, I'd like to remind you that in the end, it's a voluntary takeover bid, which has been approved by the CNMV.
Nawal Rim Barange: Finally, after the recent approval of the CNMV, we've received questions about the expected calendar and whether the transaction will be finalized before the end of the year. Whether you expect that?
Clara Bermudez: As you well know, the approval is very recent. CNMV approved the transaction precisely yesterday, 29th of October. In the calendar as was announced this morning, the acceptance period started precisely today, October 30, and it will end on the 20th of November. And during this period of time, all of the shareholders who decide to accept the takeover bid through their depository banks can do so either in the cash mode or the swap mode. As you know also because it is so specified in the prospectus published by INOC, S.A., the voluntary takeover bid is conditioned, and the condition is reaching the minimum threshold of more than half of those with direct voting rights. Once the acceptance period ends on the 28th of November, that was just published this morning by the CNMV, well, the foreseeable thing that we expect is that the CNMV has between 4 and 5 working days, specifically -- yes, 4 or 5 working days to publish the results of the takeover bid. And this translates approximately into December 5. And having said this, depending on the results and as INOC, S.A. also mentioned in the prospectus, if they reach more than 90% of the capital targeted, they manifested there to exercise the right of for sales or the squeeze out. And if they do not reach that threshold, but they reach more than 75% of the share capital with voting rights, they will carry out this sustained purchase or that will stay in the market for a term of 30 days. These are as to the calendar. When it comes to the exact date, the cash will be paid or the swap will take place, you have the entire detail of this in the prospectus, which is published not only in the CNMV, but also on the website of INOC, S.A. and the website of GCO. So I think it's not worth it to get into detail here. And we are positive that INOC, S.A., throughout this process, we will report in a timely manner about the different advances that take place with the transparency and rigor that they've always displayed. So I don't think there's much more to say about that.
Nawal Rim Barange: Okay. Good. So with this answer, we finalize the presentation of results of the first 9 months of 2025. I would like to thank you, as usual, Clara Gomez, Isidro Lapena for the presentation and for the answers to the questions. I would like to remind you that, as usual, any pending questions will be managed directly through the Investor Relations team in the coming days. And finally, I would like to remind you that you can visit our website where you have all of the information, both financial and sustainability information that can be of interest to you. As usual, thank you for your presence and participation. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]